Operator: Good morning ladies and gentlemen and welcome to The New York Times Company's Second Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note that this call is being recorded today, Tuesday, July 29 at 10 o’clock AM Eastern Time. I would now like to turn the meeting over to your host for today’s call Andrea Passalacqua, Director of Investor Relations. Please go ahead Ms. Passalacqua.
Andrea Passalacqua: Thank you, and welcome to The New York Times Company’s second-quarter 2014 earnings conference call. Joining me today to discuss our results are Mark Thompson, president and chief executive officer; Jim Follo, executive vice president and chief financial officer; Denise Warren, executive vice president, digital products and services; and Meredith Kopit Levien, executive vice president of advertising. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call, and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2013 10-K. I should also mention that our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark Thompson: Thanks Andrea and good morning everyone. The second quarter was a very busy one for the Company, and there’s plenty to talk about in the results. On the consumer side of the business, we launched the first of our new digital products, and they’ve helped us continue to grow our pool of digital-only subscribers. On the advertising side, we continued to make progress on digital advertising with a second consecutive quarter of growth and real excitement around Paid Posts, our native advertising product, and video. By contrast, and in common we believe with the rest of the industry, we saw some loss of momentum in print advertising in the second quarter after a very good start to the year. We continued to keep a good grip of core costs, even though investments in our latest round of products and services meant that profits for the quarter were down year-over-year. We believe, however, that investment spending is essential to secure long-term sustainable growth for the Company. Let me begin with the digital subscription story. In terms of numbers, at the end of the second quarter, our digital subscriber count was 831,000, an increase of approximately 32,000 during the quarter. That is some 9,000, or 39%, more net new subscribers than we added in the same quarter last year, with the new products – including NYT Now, NYT Opinion and Times Premier – representing the majority of the growth in the quarter. We’ve been pleased by the reaction of both consumers and the industry to the new products. NYT Now – our new iPhone app curated by New York Times editors that targets on-the-go consumers at a lower price point than our original digital subscription packages – has been particularly well-received. NYT Now, which has received real promotional support from Apple– including being named one of the best new apps early in the quarter – is reaching a younger demographic than our core digital packages. Demand and early statistics for retention of Times Premier, our highest-tier subscription package, have also been encouraging. The rollout of this new suite of paid products is quite different from the launch three years ago of our original pay gate on the website, where we had a huge base of heavily engaged users from day one. Our new products, in particular the NYT Now and Opinion apps, must market to and reach brand new audiences, stand out on their own and compete in a crowded marketplace. This effort will take some time, and we’ll need to build and flex some new marketing muscles. We’ve already learned plenty from our experience so far with the new product launches. While the NYT Now app is a clear and attractive consumer offering, we’ve been much less successful in presenting a clear offer to non-subscribers for lower-priced access to The Times on the web and our existing mobile platforms. So, while we continue to have confidence in Now as a new mobile expression of Times journalism for a new audience, we need to do more work to refine and effectively market a lower-priced offering across our core platforms. We’ll also assess and adjust the other products as necessary as our knowledge of real-world usage grows – and we’ll of course build those learnings into any subsequent new products, including our Cooking app. Denise and her team will be launching that in the fall, and it will initially be available for free to build up as large and engaged an audience as possible before we begin to charge. Within the total 32,000 net new digital subscribers added during the second quarter, the number of new subscribers to the core digital bundles was lower than we’ve seen and lower than we should be satisfied with. There were some one-off factors, including a large number of individually sold education subscriptions in the first quarter that, because of the college year, did not continue at the same rate in Q2. Cannibalization by the new products was also a factor, though direct cannibalization has been less than we had projected. A more significant problem, we believe, is that we underestimated the challenge of presenting the new, wider range of choices to our users and left some consumers confused as a result – obviously we are working hard to pivot and correct that. In addition, and despite the fact that the overall digital reach of The Times remains substantial, the ongoing secular shift in consumer usage from web to mobile and from home page to article-based consumption, while not a new phenomenon, was also a factor in the lower number of core net additions, because it represents a shift to less effective channels to market to and convert potential subscribers. We’re addressing this last issue in two ways. First by committing to the implementation of our recent Innovation Report, a study our newsroom leaders commissioned to address the rapidly changing digital landscape that highlighted these trends and set out some compelling recommendations on how to build and deepen the engagement of our digital audience. We’ve already completed some pilots using new audience development tools and practices – for instance in our digital coverage of the World Cup – where we’ve seen immediate and very encouraging results. We believe that we can maintain the excellence of our journalism but bring that journalism to a much wider audience by adopting state-of-art audience-building techniques both within and beyond our newsroom. This will yield benefits on both the digital subscription and advertising sides of the business. Our second response is an aggressive focus on improving subscription and advertising monetization on mobile devices, especially smartphones. The progress we’ve made on the presentation of our content in both the Now and Opinion apps must be matched across all of the mobile offerings with improved pathways to subscription, and more advertising units supported by better ad tech. Let me turn then to advertising as a whole. As I said at the start, we saw another good quarter of digital advertising growth with particularly encouraging growth in June. We’re early in the process of rolling out Paid Posts, our native advertising offering, but are very pleased with client demand and the numbers we’re seeing for actual reader engagement. Video too is on a good track. This month we received a total of seven Emmy nominations and it’s helping us to grow that advertising revenue stream as well. Video advertising is on course to nearly double in 2014, although of course it still represents a relatively modest portion of our total digital advertising revenue. Print advertising had a somewhat tougher time, declining nearly 7% year-on-year in the quarter. As we’ve noted previously, print will continue to face quite challenging year-on-year comparisons in Q3 and Q4, though against that, I am really encouraged by the progress Meredith and her team are making in developing and innovating within the print as well as digital advertising businesses. We’ve invested in the sales operation and new print and digital products and expect to see the benefit over the balance of the year, tempered of course by those tougher comparisons. In conclusion, we believe that our strategy of increasing our digital revenues by broadening and deepening the engagement of our audience and developing new digital consumer and advertising offerings is the right path to growth for the company. In recent months, we’ve shown we have what it takes – outstanding content, great design and tech – to deliver innovations both in consumer products and in digital advertising that really capture the imagination of customers. But we know we have more to do in fundamental audience development, in fine-tuning and marketing our portfolio and in seizing the opportunities of mobile. And, because we recognize that sustainable long-term growth for our digital business will take some time to secure, we will also continue to pay very close attention to our expenses and to the returns on our new investments. I will look forward to updating you along the way, but for now I’ll turn it over to Jim Follo for a more detailed financial review
Jim Follo: Thank you, Mark, and good morning, everyone. The second quarter marked an important milestone in our effort to scale our audience of paying digital users, as some of our new products hit the market and began to ramp. While it will take time for the revenues associated with these new products to reach substantial levels, we are already seeing incremental effects. But despite this progress, second-quarter revenues ended slightly down overall, mainly reflecting weakness in print advertising, which more than offset ongoing growth in the digital area of our business. Expenses were up again in the quarter, as planned, as our intense focus on reducing core costs was offset by the investments we are making in our strategic initiatives as well as by higher retirement costs. The strategic initiative expenses will continue to drive up costs in the second half of the year, although we will be closely monitoring that spending as we evaluate the near-term revenue potential for the new products and where to best prioritize our investment spending. Operating profit before depreciation, amortization, severance, non-operating retirement costs and special items decreased to $56 million in the quarter from $71 million in the prior year. The decline was driven mainly by an $18 million increase in operating expenses compared with the second quarter of 2013, most of which was attributable to our strategic initiative investments. We reported GAAP operating profit of $16 million in the quarter compared to $46 million in the same period of 2013. Circulation revenues increased 1% in the second quarter with our digital subscription revenue stream offsetting print declines. We saw a 19% year-over-year growth in the company's digital subscriber total and also benefited from January's home delivery price increases, although revenue from the new rates were outweighed by volume declines, particularly on single copy sales. In the second quarter, digital-only subscription revenues were approximately $42 million, an increase of about 14% from the same quarter in 2013. As we’ve mentioned in the past, the 831,000 digital-only subscriber total that Mark highlighted includes group subscriptions from corporate and education entities. Those units saw a solid growth in the quarter and contributed substantially to the overall growth in our core packages, although they do come in at lower rate of average revenue per user. Advertising maintained this momentum on the digital platform in the quarter, sustaining a positive growth at more than 3% but did not offset the more significant print decline of nearly 7%. Advertising revenues continue to experience month-to-month volatility in short-term buying decisions, demonstrated by declines of 7% in April, 2% in May and 3% in June. As Mark noted, digital advertising saw a significant shrink in June. Print national advertising drove the ad declines in the second quarter despite seeing growth on the digital side. Retail advertising rose in retail and overall in the quarter, while total classified advertising increased on both platforms. Other revenues grew nearly 8% in the quarter, driven by higher revenues from our online retail store, conferences and other events and content licensing. Rounding out our results, operating expenses before depreciation, amortization and severance and non-operating retirement costs, increased 4%. Costs rose 5% on a GAAP basis, and we reported diluted earnings-per-share of $0.06. Diluted earnings-per-share, excluding severance, non-operating retirement costs and special items, was $0.07 in the quarter compared to $0.13 in the 2013 quarter. The company sustained its expense management efforts in Q2 as we found ways to lower core costs, while investments associated with our strategic initiatives accelerated. Costs rose mainly due to higher compensation and benefits expense, as well as increased marketing costs, all associated with our strategic initiatives, in addition to increased retirement costs and investment spending in our advertising department, partially offset by efficiencies and customer care and print distribution. For the remainder of 2014, we will continue to prioritize investing in the business but also intend to redress cost structure issues as we get a better sense of the revenue potential associated with our new digital products and other strategic initiatives. We continue to closely manage our pension related obligations as well. To that end, in the first quarter we offered certain former employees who participate in certain non-qualified pension plans, the opportunity to receive that pension benefit now as a lump sum payment. We made related settlement payments of approximately $24 million in the second quarter from company cash, reduced pension obligations by $32 million and record a settlement charge of approximate $9.5 million. Our retirement costs will continue to be higher in the second half due primarily to lower expected return on pension assets which we are increasingly allocating to fixed income, and higher retiree medical costs and multi-employer withdrawal expenses both triggered by the sales of New England Media Group. We expect non-operating retirement costs in the third and fourth quarters of approximately $9 million each. Moving to the balance sheet. Our strong liquidity position remained largely unchanged in the second quarter. Our cash and marketable securities balance was roughly constant at approximate 972 million and our total cash position exceeded total debt and capital lease obligations by approximately $286 million. Moving on to our outlook. Third quarter circulation revenues are expected to be flat as the benefit from our digital subscription initiatives and from the most recent home delivery price increase is likely to be offset by print weakness. Although at this point in the quarter, we have very low visibility into the month of September, advertising revenues are currently expected to be down in the mid single digits driven by print declines, partially resulting from more challenging year over year comparisons. Digital is expected to make [ph] positive growth at similar levels through the first half of the year. And third quarter operating costs and adjusted operating costs are expected to increase in the low to mid single digits as investments around the company strategic initiatives are now in full force. And with that, we’d be happy to open up for questions.
Operator: (Operator Instructions) Your first question comes from the line of William Bird with FBR Capital Markets.
William Bird – FBR Capital Markets: Good morning. You mentioned some disappointment in the number of core subs added. I was wondering if you could just discuss how many core NYTimes.com subs were added. Thank you.
Denise Warren: Bill, it’s Denise. As you know, we are managing the business as a portfolio and so at this point we’re going to refrain from providing details by product. We think in light of our approach it really makes the most sense to continue to report a single paid digital subscriber metric as well as continue to report on the digital subscription revenue. I will say just to reiterate a few of the comments that Mark made in his remarks that just in general, as we said the growth in the portfolio came from the new products as well as came from -- in the core business several of our promotional sales or Memorial Day sale or July 4th sale. In addition, we did see growth as we have seen in prior quarters in our what I will call our B2B business, our corporate and education, seat and site license business. Where the weakness was in the portfolio, was as Mark had mentioned, first of all, we do typically in the second quarter see a seasonality in the B2C education copies as the school year winds down. So that impacts the portfolio, as well we saw lower starts due to the secular usage shift, from web to mobile. And as well we did see some minimal cannibalization of new core starts to the new product.
Mark Thompson: And just – to your point, just I am sure you heard me say this but although we don't break the number down precisely we said the new products constituted the majority of the growth in Q2.
William Bird – FBR Capital Markets: And just I was wondering if you could elaborate just on some of your general thoughts on, just the pace of digital subscriber additions likely in Q3 and I guess some of the things you might be able to do to try to improve the pace of digital subscriber additions?
Denise Warren: Sure. So the pace that we expect to see in Q3 is similar to what we see in Q2. And in terms of sort of retooling our work, we think we have sort of three things that we need to really work on and get right. The first is we really need to get the right offer to the core audience on our web and core mobile properties. Our initial offer, which was access to top stories as part of the NYT Now offering didn't quite resonate the way that we had hoped. And so we’re in the midst of testing a number of alternatives. The second thing we have to get right is our ability to target. We need more precision to determine which is the right customer for the right offer and this we’re honing through AB tests and our data science capabilities. And then finally, of course, we need to continue to optimize all of these things within the broader portfolio.
Mark Thompson: I mean we clearly want to see acceleration but it’s worth saying that we're currently tracking in 2014 in the first two quarters higher than the net adds for the first half of 2013. So we are seeing a higher number of adds so far this year than last year.
William Bird – FBR Capital Markets: And just a final question on digital subs. Could you talk about international, some of the efforts you’re making there to try to improve the offering?
Denise Warren: So we do see growth in international subscription albeit at a lower rate than we have seen in prior quarters. We really expect to see the performance here improved when we launched the in-currency billing later on this year. That’s really the critical key initiative that we believe is going to accelerate growth in the international marketplace.
William Bird – FBR Capital Markets: And that will be in the second half?
Denise Warren: That’s we’re shooting for October to begin the rollout.
Operator: Your next question comes from the line of John Janedis with Jefferies.
John Janedis – Jefferies: Thank you. Maybe a follow-up to Bill’s question, are you seeing any change in subscriber acquisition cost or churn and how does the churn of corporate and education subs compare to the rest of the subs, I think you spoke to the education but maybe on corporate?
Denise Warren: I don’t really have specifics to -- and I don't want to mislead you, and I would really like to get back to you on the specifics on the churn on the corporate. My sense is that it churns at a much lower rate than individual subscribers but I would love to check that statistics again and get back to you.
Mark Thompson: And with some seasonality. So I mean with a profile of – subscribing and un-subscribing – not in the corporate –
Jim Follo: I would say also that’s a relatively new program, so the history we have around those programs on retention churn is somewhat limited.
John Janedis – Jefferies: And maybe just a related question, just on the guidance for circulation for the quarter. Does it imply still double-digit digital circ revenue growth or is the slowing across both the print and digital subs?
Jim Follo: Slightly lower on the digital and a little lower on the print as well but the fact that print is still 75%, 80% of total sub revenue has a meaningful impact on that number. But again the growth in the first – second quarter was 1.4, it doesn’t take whole in terms of dollars to – county to country kind of in the flat area.
John Janedis – Jefferies: Another question for you, on the strategic investments, have you now passed the peak increase in spend year-over-year and are you still on track then to hit that sort of prior number of the 30 million increase year-over-year?
Jim Follo: I’d say we are. I think what you will see in the third quarter will be something similar to the second quarter, and that’s embedded in our guidance. We said low to mid single digits, which you get into the fourth quarter, fourth quarter last year was a pretty full quarter of spending. So I would say expense growth moderating to disappearing essentially in the fourth quarter absent any other changes plus or minus –
Mark Thompson: By Q4, when more or less at the run rate –
Jim Follo: Yeah, essentially the run rate -- if you look at internal forecast we’re not expecting anything cost growth at all in the fourth quarter.
Operator: Your next question comes from the line of Doug Arthur with Evercore Partners.
Doug Arthur – Evercore Partners: Three questions, two on numbers. Jim, in terms of the breakdown in severance and pension adjustments to the costs in the quarter, is it mostly an adjustment to SG&A or is some of that taken out of production costs? That’s question one. Question two, it looks like to get to $0.07 on the adjusted operating profit you got to use a 50% tax rate; why is that so high? And then a broader question for Denise, can you just speak more broadly to the challenges of marketing NYT Now to the Apple universe and what are the plans to expand it beyond that eventually?
Jim Follo: Let me start and then I will let Denise finish. On the severance side, I would not put it – it’s not, I would say, solely related to G&A and it kind of gets spread, I don’t want to spend – say much more than that. But there is certainly say production element to it, the G&A element to it. On the tax rate side, tax rate tends to be -- as you know pretty volatile and because of the pretax income number and the size of it certain discrete items have more of an impact on the tax rate in anyone quarter. We still hold that kind of incremental rate on every dollar earnings beyond -- every incremental dollar of earnings is still in the 42% range but in this quarter we have some distortion based upon some discrete items.
Denise Warren: On marketing NYT Now, we've actually been very pleased with what we've seen and the support that we've received from Apple. They did name the app for instance, one of the new apps in the months that we launched it. So I think really the marketing challenges in the Apple ecosystem are creating awareness, there is I think over a million apps in the app store. And so making sure that your product is actually seen is part of the battle and so when you get that kind of support from Apple it really helps. Clearly one of the things we are trying to do is get people to download the apps, so really it’s about creating awareness inside the ecosystem first and foremost and then of course secondarily it’s about creating conversion. In response to the question about potential other opportunities for expansion, clearly we’re exploring the Android marketplace, that would be the next most logical place for us to expand this particular offering.
Mark Thompson: It’s prudent – in a sense that with NYT Now, we’ve got both the opportunity but also the challenges up in the audience. The app seems to be reaching will tell you what the seems to be reaching the younger the previously been subscribers the good news about is that potentially opening up a new audience. The tough thing to say is that we’re going to meet and are already beginning to explore different marketing tactics to try and reach that audience.
Operator: Your next question comes from the line of Craig Huber with Huber Research Partners.
Craig Huber – Huber Research Partners: A few questions I guess the first one is housekeeping question, for your daily and Sunday print circulation volume what was that percent change year over year please?
Denise Warren: Week day was down 5.7 and Sunday was down 3.5.
Craig Huber – Huber Research Partners: And then I'm just little more clarity here on the cost, this investment spending you guys are doing this year, it sounds like that's in the run rate of your cost as you go into 2015later this year or is that true?
Jim Follo: Yes, I would not expect meaningful growth in the initiative spending in ’15.
Craig Huber – Huber Research Partners: But what you've spent this year it gets ongoing expenditure, you’re saying right?
Jim Follo: Largely I don’t think, there is not much in the way of kind of one time nonrecurring and -- we have a lot of marketing but as we've seen with our original pay initiatives around digital, mortgage ongoing, marketing is an ongoing effort and we will continue.
Craig Huber – Huber Research Partners: And then can you talk a little bit further if you would please about why you think your print advertising performed worse in the second quarter versus the first, putting aside the year-over-year comparison, what’s July looking like please?
Meredith Kopit Levien: Yeah, happy to talk about that. I think in general print overall in the market – there are secular forces that are leading it to decline and by contrast we saw a nice continued uptick in our digital business. Category wise there were places where we saw what I’d call a wholesale shift there, for example, technology advertising was very weak in print but very strong in digital. So we’re really starting to see some fundamental shift in the market.
Jim Follo: The one thing I would add to that is I don’t think the market has dramatically shifted and we had a good first quarter, less good second quarter. So I don't think we feel there is a fundamental shift that’s just accelerated pace in the second quarter. That being said, there are certainly secular forces at work here. It’s never precisely the same from quarter to quarter and sometimes the campaigns run, sometimes they don’t. So all the place together in ways that are often hard to predict.
Craig Huber – Huber Research Partners: And for July, you’ve seen many differences here in July?
Meredith Kopit Levien: I am sorry.
Craig Huber – Huber Research Partners: Are you seeing many differences in your print advertising here in July so far?
Meredith Kopit Levien: I think we’re off to a relatively slow start in print in July but a lot of how the third quarter goes will be written in September and our outlook in September is pretty murky at this point.
Mark Thompson: Murky, meaning we don’t see it rather than –
Meredith Kopit Levien: Yeah, not gloomy.
Jim Follo: Well but I would add to that, I’d say print is off to a bit of a slow start in July but the opposite, the complete opposite, were strong double-digit growth in digital, we saw that sort of same performance in June as well. I would say also July is a very slow month. –
Meredith Kopit Levien: And particularly small month in print. So not a great indicator of how the quarter will go.
Jim Follo: We will have to see how it plays out – as it was last year, you will recall last year September was – the third quarter – September performed –
Mark Thompson: Certainly in the 20 months or so I have been here, I mean our experience is it’s very, very hard to predict trend. I mean last December, we seem to be seeing a deceleration which was followed by Q1 where we actually saw print advertising growth year over year. So I mean it’s – I have learned it’s a month game to try and predict too much. And as both Meredith and Jim said, a lot of Q3 will be determined in September.
Jim Follo: Look, I would say also we put a lot of additional resources and money behind the advertising department and Meredith’s organization, I think that takes time to make its way, and so you have to see how that plays out as well.
Craig Huber – Huber Research Partners: Sorry to ask this again, but is there anything else specific you can point to about the differences in print advertising performed in the second quarter versus what you saw in the first quarter, is there any else besides of normal volatility here?
Meredith Kopit Levien: I would say that this is a relatively expected volatility versus something materially different that we’re concerned about.
Jim Follo: Look, we also had some – we had some things that really broke well in our favour in the first quarter. We had live film entertainment and a strong Oscar season worked to our benefit, there was another couple other categories.
Meredith Kopit Levien: In the first quarter we had a Super Bowl in our city. So if you look at the categories and you actually see the difference from quarter to quarter, it sort of tells you the story of categories in and out of print.
Mark Thompson: So an example might be in Q1, as you said it was a pretty strong Oscar season, with quite a few contenders which were the kind of movies which kind of naturally fit with the New York Times audience. The summer – something the industry has seen – it was quite a tough summer for the studios with lots of movies opening and closing quite quickly and therefore not attracting multiple opportunities for print advertising. And also movies all the time, which perhaps a less suited to The New Times audience, so that’s one category, we shifted very clearly from Q1 to Q2.
Jim Follo: But all that overlays the fact that comps did get meaningfully more difficult in the second quarter, first quarter last year we had negative 13 on print, second quarter last year we had like negative 7 [ph]. So they played a factor but it’s not the only factor in what drives the results.
Operator: Your next question comes from the line of Alexia Quadrani with JP Morgan.
Alexia Quadrani – JP Morgan: Just a couple of questions. Again there is a – there is a lot of moving pieces right now, obviously you are rolling out this new product and you are making some changes to them as you’re sort of seeing the impact good or bad. I guess from the outside, in the investment community, what’s really a good time period that we should expect for you to get to kink out and sort of transition period to be over, is it a couple of quarters, is it a year? I guess, how should we see it?
Mark Thompson: Well, I think I mean – because we are doing stuff here where we are kind of on our own, I mean we’re doing things which nobody tried in our industry. It’d kind of be difficult to be precise about how long it’s going to take to optimize. But certainly I would say that over the coming quarters, when you said two to four over the coming quarters, we hope progressively optimize the portfolio, learn some of the marketing lessons we’re going to do, and to continue to grow digital subscription. I mean I think everything that we’ve seen so far suggests that packaging the right way, marketing the right way, we can find -- continue to find new subscribers for the digital flavors of the New York Times but there is – several quarters I said there is some complexity in the offering we’re making in the public and we need to work to get that right. Denise, you want to –
Alexia Quadrani – JP Morgan: And packaging the right way, which you had is – as I hurdle for the most recent quarter, is that something that may be a quicker fix?
Denise Warren: Alexia, I am sorry, can you take another stab of the question, when you say packaging the right way, meaning –
Alexia Quadrani – JP Morgan: I think you highlighted a bunch of headwinds, that hurt the digital sub number in the quarter, it was confusing I think to the consumers in terms of how you presented the different products, I would assume that’s probably an easier thing to fix, right? – it might not be a drag –
Denise Warren: Yeah, you might think it is but we’ve got to really get – but in response to the question all three things right, we’ve got to get the right offer, we’ve got to make sure we’re targeting the right customer, and then we need to be continually optimizing. So as Mark pointed out, it is quite complex. But we do have some experiments that we are spinning up right now to hone in on getting the offers right, and we will be really hacking the way that over, over the next couple of weeks and months.
Mark Thompson: And as we said the central challenge, we think we got to – a great product is NYT Now and actually we need to plan out its future as a mobile app based product. The puzzle, the marketing puzzle that we are engaged in solving is exactly what a lower priced offering should consist of on the web and our core mobile platforms have exactly how do we configure that and how do we market it and that’s what we are working on right now.
Alexia Quadrani – JP Morgan: And just the last follow up question is the deceleration of sub growth in the third quarter versus what you have seen in the first half. Is that purely this noise on the digital front or is there some we can expect in print as well?
Jim Follo: Little bit of weakening in print, I wouldn’t oversay it but again when print circulation is 75% of the number, a small changes in the percentage growth of decline will have outsized effect on the overall number. So a little of both.
Mark Thompson: As Jim said, again we are looking quite hard over what we can do to support print circulation and we don’t forget that print is a really important part of our business, and it’s not on the core [indiscernible] print product and services is looking hard at marketing solutions to strengthen the current quarter of print circulation.
Operator: Your next question comes from the line of Kannan Venkateshwar with Barclays Capital.
Kannan Venkateshwar – Barclays Capital: Just a couple of questions. The first is on the digital side, when we look at the total adjustable market, now with all the newer products that you have, is the market bigger than what you started off with the original plan when you had digital? Or is it roughly the same market in your view? And secondly, when we look at price increases, historically when you did not have a digital product versus now when you have multiple digital products, has the elasticity changed on the print side to the price increases that you are seeing right now?
Mark Thompson: I think the way I think about this, Kannan, is – from a period where the company was thinking about how it converted an existing group of engaged users, digital users to subscribers, I think we have got greater ambitions about reaching out and finding new audiences and add new addressable markets and the international expansion is an example of that. Obviously that brings in its wake as I said in relation to NYT Now new marketing challenges, where you can rely somewhat less on the – as well the existing consumption of existing users and have to reach out – new, in some cases new marketing channels to find and engage new consumers, and that relates very much to the whole topic of audience engagement, and the ways in which you can use tools and practices also engagement to strengthen usage and therefore drive subscription. I think the basic answer to the question is we do believe that there is a bigger potential addressable market than perhaps we thought some years ago.
Denise Warren: Yeah, I mean I would think that especially with NYT Now reaching a much younger audience than we’ve ever reached before with any of our products, we’re very, very encouraged that we might be able to make inroads just in particular in that segment of the marketplace, and that wasn’t what we had necessarily contemplated at the outset. So just to give one specific detail as to why I think I would point to NYT Now.
Mark Thompson: And on the elasticity point, I mean it’s worth saying that I think take up and retention of premier suggests something about elasticity. Now it’s complicated because premier is digital enhancements which are also available to print subscribers but premier suggests that across the portfolio both print and digital, there is some pricing elasticity. Having said that, we have primarily been focused on to grow the total number of digital subscribers. Though obviously we think about price and price increases all the time but our biggest focus at the moment has been trying to grow the number of subscribers.
Operator: There are no further questions at this time. I would now turn the call back over to Ms. Passalacqua.